Operator: Good day and thank you for standing by. Welcome to the Caesars Entertainment Third Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Brian Agnew, Senior Vice President of Finance, Treasury and Investor Relations. Please go ahead.
Brian Agnew: Thank you, Elizabeth, and good afternoon to everyone on the call. Welcome to our conference call to discuss our third quarter 2022 earnings. This afternoon, we issued a press release announcing our financial results for the period ended September 30, 2022. A copy of the press release is available on the Investor Relations section of our website at investor.caesars.com. Joining me on the call today are Tom Reeg, our Chief Executive Officer; Anthony Carano, our President and Chief Operating Officer; Bret Yunker, our Chief Financial Officer; and Eric Hession, President, Caesars Sports & Online Gaming. Before I turn the call over to Anthony, I would like to remind you that during today's conference call, we may make certain forward-looking statements about the Company's performance. Such forward-looking statements are not guarantees of future performance and therefore, one should not place undue reliance on them. Forward-looking statements are also subject to the inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the Company's filings with the Securities and Exchange Commission. Caesars Entertainment undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after today's call. Also, during today's call, the Company may discuss certain non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measures most directly comparable to each non-GAAP financial measure discussed and the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on the Company's website at investor.caesars.com by selecting the press release regarding the Company's 2022 third quarter financial results. I will now turn the call over to Anthony.
Anthony Carano: Thank you, Brian, and good afternoon to everyone on the call. In the third quarter, we generated a new consolidated EBITDA record excluding Digital of $1.05 billion. Our Las Vegas segment continued to deliver strong results with $491 million of adjusted EBITDA, excluding the real rent payment. Our regional segment delivered a new Q3 record with same-store adjusted EBITDA of $570 million, up 25% versus Q3 of '19. Caesars Digital reported a $38 million adjusted EBITDA loss, which was our smallest last quarter since rebranding to Caesars Sportsbook in August of '21. In our Las Vegas segment, all areas of the business combined to contribute to the strong EBITDA quarter. Excluding real rent payments, our Las Vegas segment generated EBITDA of $491 million and a 46% EBITDA margin. Occupancy was strong, reaching 94% driven by July and September. Cash hotel revenue and profit set a new Q3 record. Gaming revenue also set a new Q3 record during the quarter. Group room nights during Q3 of '22 represented approximately 12% of occupied room nights. Forward group revenue pace for the remainder of the year and into '23 is up over double digits versus '19. Results in our 55-plus segment in Las Vegas were up again in Q3 to pre-COVID, continuing the trend we experienced in the second quarter. International travel continues to recover and remains a tailwind. Las Vegas has further runway for growth with many exciting new entertainment and sporting events coming to the market over the next 18 months. In our regional markets, results strengthened in the third quarter, posting growth versus a strong third quarter last year. Reported EBITDA of $570 million was up 25% to Q3 of '19 and up 30% when excluding Lake Charles, which remained closed during Q3. EBITDA margins improved 840 bps to 38% on a same-store basis versus Q3 of '19, excluding Lake Charles. Trends in our regional segment remained very consistent over the last few quarters. Turning to an update on our capital program. Renovations in AC will complete in the first half of '23, with the opening of the Nobu Hotel Tower, and we're excited about the recent restaurant openings of Hell's Kitchen and Nobu at Caesars AC. Horseshoe Lake Charles is set to open on December 12th, and we look forward to showcasing this brand-new land-based facility. We also expect to open our expanded casino offering in Pompano in December as well. We expect to open temporary casinos in both Danville, Virginia and Columbus, Nebraska by midyear '23. Our expansion at Harrah's Hoosier Park is underway and should open by mid-'23. And lastly, our construction on our new hotel tower and additional amenities at our New Orleans property is progressing well with the new sports book and poker room recently opened. As we look to the remainder of '22, we remain optimistic about our business as consumer trends remain healthy, especially versus '19. As we mentioned last quarter, we remain encouraged regarding improving group and convention trends in Las Vegas, the return to the international consumer as well as the potential for the full recovery of our older demographic consumer, who has been the most impacted by COVID-19. I want to thank all of our team members for their hard work in 2022 so far. I'm extremely proud of our operating teams, their execution and their exceptional guest service. With that, I will now turn the call over to Eric Hession for some insights on the third quarter performance in our Digital segment.
Eric Hession: Thanks, Anthony. Our digital business reported revenue growth of over 120% and a smaller-than-expected EBITDA loss in the quarter. On the sports betting side, we recently started to realize the benefits from the efforts that we've made over the summer to improve the overall experience for our customers, specifically improvements in cash out speeds, customer service response times and our in-play parlay and alternative line offerings are all being well received by our customers. We've also created several analytical tools that provide real-time assistance and insights for our trading team allowing them to expand the number of markets we offer to our customers and to be more responsive during in-play trading sessions. As a result, our hold volatility has declined and our overall expected hold levels have increased. During the quarter, we also began to see the results of our initial segmented marketing campaigns that allow us to reward our customers more directly for their loyalty and play with us. These efforts contributed towards our net revenue growth as they allowed us to improve our promotional spending efficiency. We anticipate continued enhancements in this important area over the course of 2023. On the iCasino side, we hired a new leader for the vertical who started on October 1st. In conjunction with our tech team, we have an aggressive product improvement road map identified with numerous enhancements for our customers that will be rolled out as completed with a full product targeted for the start of the second half of 2023. iGaming remains a critical component of our digital growth strategy. From an expansion standpoint, during the quarter, we launched our online sports betting product in Kansas and upgraded our tech package in Illinois, Pennsylvania and Washington, D.C. to our most current version. We now offer sports betting in 27 North American jurisdictions, 19 of which offer mobile wager. In Q4, pending regulatory approval, we anticipate launching online sports betting in Maryland and on January 1st in Ohio. In addition, we plan on adding two new third-party retail locations during the quarter. With that, I'll turn it over to Bret for some additional comments.
Bret Yunker: Thanks, Eric. Q3 was another productive quarter from a balance sheet perspective as we permanently reduced approximately $900 million of debt using asset sale proceeds and free cash flow. We also successfully syndicated a new $3 billion credit facility comprised of a $2.25 billion revolver and a $750 million term loan A. 16 domestic and international banks subscribed to the new facility, and we appreciate their support. Total 2022 CapEx spend net of Atlantic City is now expected to come in at approximately $800 million, which is also our current estimate for total 2023 CapEx spend across growth and maintenance. Finally, we announced that we will be pursuing a downstate casino license in New York with our partner, SL Green. It will obviously be a very competitive process, and we look forward to putting our best foot forward when the RFP begins. Given the inherent sensitivities around the bid process, we aren't in a position to go into details around project costs at this stage. However, we can tell you now that the project starts with an existing building and will be financed within a new joint venture that is not on our balance sheet. Caesars will brand and manage the asset under a long-term management agreement and any equity investment into the joint venture will be very manageable relative to our free cash flow. Now, I'll turn the call over to Tom.
Tom Reeg: Thanks, Brett. I'm going to touch a little further on the quarter, and I want to talk about October as well. In Las Vegas, very strong results in the quarter. Normal seasonality returned to Las Vegas in the third quarter. We also had a couple of headwinds that I would call out. And utility expenses for the quarter were extraordinarily high, particularly August, and we had the finish of the construction of the entrance, which caused some construction disruption. If you look at the impact of the two of those and add it back, you would end up a little bit ahead of last year on an EBITDA basis and similar from a margin standpoint. As you look into October, October was the strongest month in the history of Las Vegas for Caesars. We did over $200 million of EBITDA in October, which is up double digits versus last year on a consolidated basis. October EBITDA for bricks and mortar is pacing double-digit percentage above last year's October despite having one fewer weekend day in the 2022 period. Regional is obviously quite strong as well. It had a little bit of a margin improvement there. Strongest third quarter that we've ever had in regionals. And then we've got -- as Anthony touched on, we've got Lake Charles coming. We've got temporary casinos in Columbus, Nebraska, Danville, Virginia that will hit next year. We've got the completion of the Atlantic City spend as well and the Harrah's Hoosier Park in Indianapolis -- outside Indianapolis should finish by the middle of next year. So, a number of tailwinds, cash that you allowed us to invest as shareholders that you're going to see the fruits of going into the rest of '22 and into '23. I'd also like to touch on the strip asset sale and say that we intend to keep all of our strip assets as we move forward. We ran into a market where the cash flow of the asset continued to increase the ability of buyers to raise financing, made it a very easy decision for us to keep. I know that despite us talking about how this is and was a discretionary process for us, it created an unnecessary overhang in the stock. And I apologize to all of our shareholders for that. That was a self-inflicted error and that was me. So, we will be keeping our Vegas Strip assets as we move forward. In Digital -- October Digital inflected to positive EBITDA for us. So, we are extremely pleased that's 12 months ahead of the schedule that we anticipated. I think most of you are aware, we've got a fairly high profile liability out there with the Astros. So that will have -- that will be a swing factor in whether fourth quarter is positive as a whole, but we'd expect that we have inflected, and Digital will be a contributor as we move forward. So that's extremely exciting news for us. Great work by Eric and his team in Digital, and thank you to all of our shareholders for the capital to invest in that in Digital and the patience as we work through it. We continue to believe that on our $1.1 billion of cumulative EBITDA losses that maturity, we'll be doing in excess of 50% of that in annual EBITDA out of Digital. That business continues to outperform our expectations and really, really inflected over the last 60 to 90 days. So, we are quite pleased with that. With that, I'll flip back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Carlo Santarelli with Deutsche Bank.
Carlo Santarelli: Hey guys. Good afternoon. Tom, I appreciate the commentary on Digital. Could you talk a little bit about how you foresaw or foresee going forward, the promotional environment, perhaps based a little bit on your experience in the 3Q as well as what you saw in October as we're now in the kind of the meat of football season. And then further, let's set aside the World Series liability, could I take your comments to kind of infer that perhaps next year, you're looking at a positive EBITDA contribution from Digital?
Tom Reeg: Yes. For modeling purposes, Carlo, I'd expect you to be around breakeven, but I'd expect that we've got a really good shot that that's a contributor on a full year basis in '23. Obviously, that's subject to hold, but we feel very, very good about where we are. In terms of promotional environment, you've got -- we've talked for a very long time about how your customers as they come in, in new states, that's when they're taking advantage of sign-up offers that those are your highest -- that's your highest promotional spending. We've got, obviously, a mix this year of states, most of which are in their second year -- if not second full year, at least second year of operation during football season. So your promos are to your existing customers. That's typically a much smaller promotional bite than new sign-ups. But I'd also say, we have the ability to segment customers now, which we didn't last year. We've got a full year of looking at -- as you know, we had all spigots opened in Digital as we launched the business and launched the brand. Now we can look at various verticals and see what type of customer is coming in through the various channels and adjust our spend based on are we getting a return on our investment. And we made some significant changes there, led by Eric, in the last 60 days that have flowed virtually entirely basically shutting off particular segments and that cash has flowed immediately to the bottom line with no degradation in market position. So, we feel very, very good about where we're at. As I told you, this is what we've done on the brick-and-mortar side is figure out how to invest more in your best customers and less in your less profitable customers, and that's really the basic blocking and tackling that we're doing in Digital that has led to these results.
Carlo Santarelli: Yes. I have noticed the latter personally. Thanks Tom. I appreciate that. And then just one follow-up. From the regional perspective, obviously, results were good against a difficult comparison. It looks like you guys were able to more or less keep OpEx kind of ex gaming taxes to the best of our estimation, flattish. Are you kind of where you need to be? Are there any pressures that are kind of creeping there that we need to be aware of outside of traditional labor inflation, things like that, or is this a pretty good run rate in terms of OpEx?
Tom Reeg: Yes. I'd say you're at a pretty good run rate. You're -- you've been around us long enough that we're never done, but we don't see any real cost that's on the sidelines. As you've touched on, we've got labor cost inflation that rolls through, but that's been for quite some time, and frankly, the labor picture continues to look better as we get quarters in the rearview mirror.
Operator: Our next question comes from the line of Joe Greff with JP Morgan.
Joe Greff: Tom, just starting off on the digital side. As you talk about increasing profitability in this segment, can you talk about over the next few years, 2023, 2024 and beyond the magnitude of additional operating expenses coming out of that business, maybe particularly with some partnership expenses and how this might be sort of, I don't want to say low-hanging fruit or easy to extract efficiencies from, but can you talk about some of those that kind of gets you to increasing profitability as you think about some of those partnership expenses winding down?
Tom Reeg: Sure, Joe. As you look at current business, you've got for us, what is a sports-dominated business at this point inflecting to profitability. Obviously, we have significant opportunity in front of us in iCasino. We think we now have the right leadership in place to attack that. So, we think that will grow from what's a fairly small contributor today, into a much more meaningful contributor. But, what I think you're referring to is as we launch, and this is not unique to us, this is throughout the entire digital space. There were a number of partnership deals signed up with media partners, with teams, with leagues that all kind of run 3 to 5 years. In our case, from let's say, the middle of last year. So you'll have some running off in a year, you'll have more running off over the next three years. And you'll look at -- there were assumptions made in terms of what you were willing to pay for those sponsorship opportunities -- those partnership opportunities that were based on customer generation, new customers to your platform. Obviously, we've got much more data today than we had before, and you're not going to be in virtually all of these cases in a launch situation anymore. So for us, that's something that runs in north of $200 million of annual expense. And you should expect as though -- and for now, that's a fixed expense for us. As long as those contracts are in place, you should expect some of them will live in a form that may not be as expensive as it is today. A fair amount of those will go away entirely, and that should flow straight to EBITDA for us if you're looking out in that ‘24, ‘25 timeframe that you laid out.
Joe Greff: Great. And Tom, just to clarify your comments, switching over to Las Vegas. You mentioned the 3Q would have generated in Las Vegas EBITDAR north of last year and margins that are similar, and that delta between what you reported and those comments related to those 2 headwinds, utility costs and disruption at CPLB. Can you sort of break out the magnitude of each and explain to us maybe the elevated utility expenses, how do you think about that going forward? And is it recurring, is it onetime? And then, also sometimes you noted that corporate expenses were down a lot sequentially. Can you help explain that, or was there an expense shifted out to the properties versus what may have been in the past sort of allocated to corporate?
Tom Reeg: Bret will take corporate expense. I'll take Vegas.
Bret Yunker: On corporate expense, yes, we are a bit light to our typical run rate of 30 to 35 per quarter. That's due to a lack of transaction activity and a continued focus on all expenses.
Tom Reeg: And for Vegas, Joe, if you normalize utilities, which was primarily rate in August alone, that's virtually the entire gap between Q3 of '22 or Q3 of '21. And then you have the construction disruption as well. To give you an idea, October on a preliminary basis, Vegas EBITDA margin was about 52% for us.
Operator: Our next question comes from the line of Steven Wieczynski with Stifel.
Steven Wieczynski: So Tom, you just mentioned that Vegas did, I think you said $200 million in EBITDA in October. And I guess, the most simplistic way I can ask this question is, should the quarter end up being $600 million in EBITDA? And I guess what I mean by that is, obviously, with -- there's some holidays coming up and what not, I just want to make sure that expectations for the fourth quarter are rightfully set at this point. And hopefully, that makes sense.
Tom Reeg: Sure, Steve. October is typically the strongest month in fourth quarter. November is the weakest month. Thanksgiving is not a particularly strong holiday. And your -- so November is the seasonal slowest in the third -- in the fourth quarter and then you get New Year's in December. So, if I were thinking about what does the quarter look like, October should be the best month, December should be slightly lower and November lower than that.
Steven Wieczynski: Okay. Perfect. And then second question, Tom, on the Digital side of the business, and clearly, there's been some significant progress made here in terms of getting that segment profitable. And I guess my question is -- or maybe give us your updated kind of thoughts about, down the road, do you see any kind of scenario where you would want to potentially spin this business off at some point? And I understand there's probably a lot of value here with the business being tied so closely to the brick-and-mortar side. But just wondering if that would possibly make sense at some point down the road to help the leverage side of the equation.
Tom Reeg: So, I'd say that our competitive advantage here is tying it to the existing brick-and-mortar business and our Caesars Rewards database. And it would be my preference that that remains 100% owned by the parent company. If you get to different shareholder bases for the two businesses, there's a complexity introduced that you see in -- you can see that in some of our peers in terms of when you get to different shareholder bases in the same business. But I'd tell you, you know that we're constantly focused on how do we drive shareholder value. If you get into a market where that ultimately makes sense, and that's the way to increase the pie for shareholders in total. Certainly, that's something we would consider. In the recent market environment, there hasn't been much value placed on digital assets. So it's a very easy decision as we sit here today.
Operator: Our next question comes from the line of Shaun Kelley with Bank of America.
Shaun Kelley: I wanted to dig in on regionals a little bit. The performance there in the quarter was obviously excellent and probably stronger than many of us were expecting. I was wondering if you could just kind of call out any key markets that might have driven that strength in the third quarter. And specifically if you could comment on Atlantic City. I feel like -- it's a big seasonal quarter for that market, but directionally, I think we had seen the Caesars Properties on a gross revenue basis not performing as well as some of the other market participants. I was curious if you're doing something different there, focusing on margin, just kind of how that market is evolving specifically?
Tom Reeg: Yes. Sorry, what I'd say we're doing differently is we've had most of our market torn up during the peak season. So, we've had rooms out of service, both at Caesars and at Harrah's. And obviously, the intention as we began the project was that would be finished prior to peak season of '22 and for -- there's obviously a well-known story of what's happened to -- what happened to supply chain, and we missed the peak season. So really, the results you're seeing in Atlantic City are a function of the construction disruption that we've had going on in that market, that's not a -- we're making a conscious decision to run off revenue and focus on margins. So, Atlantic City on a relative basis to the Regionals was an underperformer. In terms of overperformers, New Orleans has come back quite nicely from both the hurricane and the severe COVID restrictions that were in place in the city, and then Northern Nevada continues to be extraordinarily strong, the levels of business that we're doing in Reno and Tahoe are, frankly, beyond what we ever dreamed when we were putting this thing together a few years ago.
Shaun Kelley: And then just as my follow-up, switching to Digital, if I could. While we have Eric, one thing that's been a discussion point in the market is obviously really strong hold levels across much of the OSB landscape in the third quarter, certainly in October -- or sorry, in September. Kind of curious on the thoughts -- you made a call out on hold and that improving a bit over time. Just could you talk to us a little bit about relative to maybe what we're seeing in the market in September and October, how much do you think this is sustainable based on product and mix versus how much is really just a factor of game luck where we've definitely seen some outcomes that have favored the books? Thank you.
Tom Reeg: Yes. So, let me start this, and I'll flip to Eric in terms of -- there's two pieces here, right? There's just your normal luck and football season started pretty strong for all books. There's a couple of weeks so far that have been the reverse of that, but the bulk has been favorable to books. But when I'm saying we're positive in October, that's even adjusted for that hold. We've also made a number of changes that have improved our own hold, but I'm going to flip to Eric to talk trough.
Brian Agnew: Yes. Thanks, Tom. We had higher-than-expected hold towards the higher end of our range for the quarter, partially, as Tom mentioned, through luck, the football season has been fortunate to us so far. But beyond that, as I mentioned in the remarks, we did put a lot of tools in place. We're increasing our uptime and our percentage of in-play hold and in-play volume, which naturally translates into a higher hold product. In addition, our percentage of parlays has steadily grown and really improved in the third quarter relative to the second and first quarter. A lot of that is due to some enhancements that we made on the tech side to improve the ability for customers to visualize and to place their parlay bets. We also have our analytics team that's come over from the retail casino side that have put together a number of models that allow our traders to be able to keep the odds up during the game longer and then also to be more accurate with respect to their pricing. And so, through a combination of all of those factors, we've really been able to reduce the volatility. And you can see it when we get our results each day, even on days when we're not lucky with the outcomes, we still managed to pull off positive hold or at least hold this reasonable for a particular day. And then when we do get lucky, it really compounds and we can get some really solid, double-digit holds. So overall, we put a lot of structural hold changes in place but we were also a bit lucky in the third quarter.
Anthony Carano: We are a huge Phillies fans...
Operator: Our next question comes from the line of Barry Jonas with Truist.
Barry Jonas: It looks like you found the right structure to move forward with a bid in New York. Just curious if there are any other greenfield opportunities you're interested in, either domestically or internationally?
Tom Reeg: I mean, I would say greenfield international, you never say never, but highly, highly unlikely. In the U.S., if you see a major market open, like, say, Texas, you should expect that we're going to look for a way to participate there. You've seen us in Danville, Virginia, where the temporary will open next year; Columbus, Nebraska, which is smaller where temporary will open next year. So, we will pick and choose, but you should expect it to be domestic focused.
Barry Jonas: Got it. Got it. And then, just shifting to Digital. You talked about Ohio and Maryland going live. Any expectations for -- you could share for other jurisdictions, whether that's Massachusetts, Nebraska, Puerto Rico? And then just for iCasino, I think the legislative movement has been softer than people thought. Any progress on states making a push for iCasino that you're seeing?
Brian Agnew: Yes, I'll take that one. You definitely listed off a lot of the ones that we're aware of. So, in addition to Maryland, which will hopefully be in November and then Ohio on October 1st, you've also got Massachusetts. The date hasn't been finalized there, but it's looking pretty good for first quarter. It sounds like the retail locations will open first and then online, and we're participating in the online side of that. In addition to Massachusetts, Maine has been moving forward, that's probably going to be late this year, if not into -- sorry, late 2023 rather. We are planning to launch in Puerto Rico that could happen in the fourth quarter or might push to the first quarter. And then, as you mentioned with Nebraska as well, we will plan to have some kiosks up for our temporary casino there. And then we're going to launch a Sportsbook at Casino Windsor, up in Canada, that will be kiosks later this week. And then early next year, we'll open a full book as well.
Barry Jonas: Got it. Any movement on the iCasino side that you're starting to see from the states?
Brian Agnew: Yes. The iCasino is a little bit more tricky. There really has to be a real coalition. There's a lot of competing interests from both within our industry and ancillary businesses that sometimes compete with us and sometimes participate with us. At this point, it's certainly possible that there could be another state that legalizes or two next year. But I wouldn't call out any particular state at this point. And just to add on to that, when we think about the model that Tom's outlaid, we really don't look at any incremental states from those that have been already passed through the legislation. So anything we get on the iCasino side or even any additional states beyond those that I mentioned would be upside to the model.
Operator: Our next question comes from the line of John DeCree with CBRE Securities.
John DeCree: Covered a lot of ground, so I apologize, maybe this one's a little bit more granular on the October performance in Las Vegas, kind of record EBITDA levels. I think you've mentioned the low-50s percent margin, 52 if I heard correctly. Curious if you could kind of give us a little bit of insight into customer mix I guess typically a bigger group customer quarter, but it seems like everything is kind of working with that margin, I think 12% group room nights in 3Q. Curious if you could kind of unpack October a little bit in terms of customer mix and what kind of pushed that record performance from a customer perspective.
Tom Reeg: Yes. I'd prefer not to go super deep there. But yes, John, groups are a big part of it. Group business was strong in October, same as here this week. So it's just a culmination of a significant wave of demand that has included now the group side, and we're thrilled with the way things are coming together. We're going to do over $1 billion cash room revenue in Vegas which -- for those that have been in the market and Caesars would have viewed that as impossible, not that long ago. So, we're really hitting on all cylinders here.
John DeCree: Maybe a follow-up for the outlook. I think maybe, Anthony, mentioned that the group room nights are pacing above of ‘19 with some big events next year. Have you started to see the benefit in booking? We all see the kind of pricing for F1, but it's still a bit of ways away, I think, a year now. Curious if you really started to get traction on some of the big events that you expect next year or if you think there's an opportunity to have an acceleration in both group room nights and pricing for next year?
Tom Reeg: Yes. Certainly, yes. We think Formula One is kind of a different animal. The demand for that particular event is well beyond what we were expecting and you saw as we rolled out rates yesterday, the pricing is -- reflects that, with a lot of the big events skewed toward the second half of the year beyond normal CES coming back, things like that. There's easy comps in the first quarter with Omicron impacting '21 -- I'm sorry, '22. But as you look further deeper into the bigger groups, it's a little early to talk about traction, but it should all be extremely positive for room rates and occupancy in the market in '22 -- '23, sorry
John DeCree: That's great. Thanks Tom. I appreciate the additional color.
Operator: Our next question comes from the line of David Katz with Jefferies.
David Katz: I wanted to just go back to the topic I raised I think in last quarter about kind of normalized Las Vegas margins. And I think the discussion we had was around that 50% benchmark. It seems to me that what we saw was some seasonality as well as some of the cost headwinds. Were those attributable to Las Vegas? And if we can maybe take it a step further, that 50% level or neighborhood, is that a full year number implying that some may be higher and 3Q may be lower?
Tom Reeg: Yes, that's accurate. And when I was talking about the utility impact, that was entirely Las Vegas. So, you're talking about if you normalize, we should have been between 48%, 49% in third quarter, and then you should see first and fourth quarters should be better than that, second should be somewhere around, let's say high-40s. But again, we manage for aggregate EBITDA, not EBITDA margin. That 50% that we're talking about is really what falls out of the operating model, not necessarily a target for us.
David Katz: Understood. So, there was 300 or 400 basis points impact in the current quarter?
Tom Reeg: I'd say not quite that much. 46, I said we'd have been 48 to 49, so call it, 200 to 300 basis points.
David Katz: Okay. Got it. And if I can ask one other longer-term questions with respect to Digital, and this may not be the way you're thinking about it either. But when we start getting to a more normalized business level for Digital, is there a sort of margin level that makes sense? And I'm just wondering whether it's accretive or dilutive to the aggregate on the Company.
Tom Reeg: So, we can see what other mature -- what operators in other mature non-U.S. markets generate in EBITDA margins. We've got a pretty good track record of being a margin leader. So, if you're seeing 25%, 30% away from us, I would expect that ultimately, we're going to do better than that, which should be around in line with the rest of the business.
Operator: Our next question comes from the line of Daniel Politzer with Wells Fargo.
Daniel Politzer: Tom, I think on the interactive, you mentioned you still get back to that 50% return on the, call it, $1.1 billion investment. Can you maybe just bridge us from that few hundred million dollars that roll off from the partnerships to how you get to that return? Is it iGaming? Is it sports betting? Is it just general growth of the industry?
Tom Reeg: It's -- clearly, the industry is continuing to grow. We know what's happening with our cost structure, what's going to happen with our cost structure, and we make some assumptions on. What we'll be able to do in terms of iGaming as we move forward and very comfortable with that 50% plus return on annual EBITDA to cumulative EBITDA loss measure.
Daniel Politzer: Got it. And then just moving to the balance sheet. You've certainly been generating some cash and pulling some levers, what additional levers do you have to reduce your debt from here? How topical is Centaur in your mind right now, just given we're coming up on a period where it might become more topical? And any other levers that we should be thinking about to reduce debt in short order? Thanks.
Tom Reeg: Yes. So, we should be doing something in the neighborhood, if not, exceeding $1 billion of free cash flow in '23. You should expect that will be used to pay down debt. It has always been our expectation that VICI would choose to exercise the call option it has on the Centaur assets that opened in January of this year. It closes toward the end of '24. So, VICI has been very clear that they anticipate exercising that option for us. If you run that forward and assume they do it toward the end of that period, that should be about a $2.5 billion inflow to us. So, quite substantial. And by then, you'll have -- if we do nothing else, you should have another couple of billion dollars of free cash flow that we've generated between now and then, the vast majority we expect to use to pay down debt.
Operator: Our next question comes from the line of Stephen Grambling with Morgan Stanley.
Stephen Grambling: As a follow-up to your comments on the Digital business hitting the 50% ROI. And I think you said 25% to 30% margins. How important is market share as an input in those assumptions. Or zooming out, how do you think about scale benefits for this business in general?
Tom Reeg: We think there's clear benefits to scale in the business. And we expect that we're not going to remain static over time, particularly on the iGaming space. But our -- it's important to me personally that we prove that we can generate the returns that we've laid out for the investment that our shareholders allowed us to make before we're doing any -- let's go out and try to grab significantly more share through promotions. So, you should expect us to be living in this band of market share that we've been living and that market share is ultimately not a target for us. It's can we get the return on investment that we're looking for as in the brick-and-mortar business [Technical Difficulty] share falls out of that. It's not an input.
Stephen Grambling: Makes sense. And then one other quick follow-up on, I think you said $1 billion in free cash flow next year. Within that assumption, do you anticipate being a cash taxpayer, excluding any asset sales? And perhaps just in general, when do you expect to be a cash taxpayer? Thanks.
Tom Reeg: No, we should not be -- we will not be a cash taxpayer in '23. Bret, do you want to talk?
Bret Yunker: Yes, we've got multiple years of runway before we're a taxpayer.
Operator: Our next question comes from the line of Brandt Montour with Barclays.
Brandt Montour: Just a quick follow-up on the digital side, whoever wants to take it. But just curious on the iCasino road map that you just sort of started to sort of lay out for us. How should we think about any sort of incremental investment for that revised or new road map? And is that manageable within the existing OpEx that you're currently running in the business?
Brian Agnew: Yes. I think as Tom mentioned, this is a really scalable business. And when you're growing at 110% quarter-over-quarter, we are going to continue to staff up to handle state expansions, product improvements, those types of things, but not to the same pace as revenue and not even close to that level. We will have some slight increases in capitalized labor associated with the iCasino product next year. And any impact to the actual P&L will be fairly minimal.
Tom Reeg: And from a promo perspective, it's a very different business than sports. So, while you will see some advertising activity around in local market advertising, our casino product, it's a very different scale in terms of launching the sports business. So certainly easily manageable within the numbers that I laid out earlier.
Brandt Montour: And then as a follow-up on Las Vegas, I guess no one's asked this macro question, so I might as well take a shot. But Tom, what are you guys seeing in terms of any sensitivity on the part of your fit customers related to the macro? And as a second part of that, as Las Vegas continues to sort of evolve into a more sports friendly destination, what have you seen from sports-focused travelers in terms of gambling habits? And is that something that's a little bit of a concern, or is that something that seems to be in line with other agents in the market?
Tom Reeg: Yes. So Brandt, we're -- we see the same macro going forward that others see in terms of here of what happens with continued rate rises that for instance consumer, are we facing a recession. We're not. We're certainly cognizant of what's out there. I can't point you to anything in our business in or out of Vegas that shows any slowdown in the consumer. So, we feel very good. October was obviously very strong. You see the third quarter. We know what investors are anticipating. We're not seeing that in our business to date, nor in the forward metrics that we see -- that we look at in our own business. And then, in terms of sports, sports is digital for us. We are getting over $200 million of incremental brick-and-mortar casino play out of customers that were sourced in digital. That number continues to grow. Sports in Vegas, the Raiders have been very, very good for the city, give us additional length of the stays on weekends that they're in town, generates a lot of incremental travel from visiting teams. So, that's been really a home run from the city's perspective and we've been able to benefit.
Operator: Our next question comes from the line of Chad Beynon with Macquarie.
Chad Beynon: Just one last follow-up on Vegas. I think we covered pretty much everything out there. But just on the piece with international, the opportunity to kind of bring that back as a tailwind. What do you think it's going to take to get that business back? Is it passage of time? Is it FX related, or is it really just kind of the sports and the holidays that bring in that customer, maybe more on the VIP side? So, when do you think this can kind of inflect .
Tom Reeg: Yes. We've just started to see that business start to come back over the last quarter or so. Obviously, this Chinese New Year will be the first without -- knock on wood without impact of the virus and with the ability to travel. So that will be something we're watching closely. As you know, here, we've got Adele starting in middle of November. And like I tell you, she is an enormous draw across the board, but appeals particularly to that international high-end clientele. So we're excited about that. But Chad, it's been 2.5 years at this point, we understand that those people that were coming to Vegas to play, I don't think they stopped gambling. They found other places to do it when travel was impacted, and that's going to be a long road as we build it back.
Operator: [Operator Instructions] Our next question comes from the line of Joe Stauff with Susquehanna.
Joe Stauff: I just had a question. I believe your annual rent adjusts maybe this month or this quarter, what does it -- without the CPI caps, can you just give us what that number adjusts to and from? And just wondering your -- you had mentioned that decision to keep the strip assets and wondering if that changes the way you think about, say, your investments, do you have to now invest maybe in some of those older properties as a result of that? Thank you.
Eric Hession: Joe, on the VICI CPI escalator, it's 8.1%, which started on November 1st. And so, rent next year should be around $1.285 billion consolidated, including GLPI.
Tom Reeg: And in terms of investment, obviously, Joe, we're doing as much EBITDA as we've ever done here. The particular assets that we're talking about had some low-hanging fruit that we were talking to potential buyers about. You shouldn't be surprised if we take advantage of that in the coming 12 to 18 months.
Joe Stauff: Makes sense. Thanks a lot.
Tom Reeg: We'll talk to you next quarter.
Eric Hession: Thanks a lot, everybody.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.